Operator: Good morning, and welcome to the Evolution Petroleum First Quarter and Fiscal Year 2026 Earnings Release Conference Call. [Operator Instructions] Please also note that today's event is being recorded. At this time, I would like to turn the conference over to Brandi Hudson, Investor Relations Manager. Please go ahead.
Brandi Hudson: Thank you. Welcome to Evolution Petroleum's Fiscal Q1 2026 Earnings Call. I'm joined by Kelly Lloyd, President and Chief Executive Officer; Mark Bunch, Chief Operating Officer; and Ryan Stash, Senior Vice President, Chief Financial Officer and Treasurer. We released our fiscal first quarter 2026 financial results after the market closed yesterday. Please refer to our earnings press release for additional information containing these results. You can access our earnings release on the Investors section of our website. Please note that any statements and information provided on today's call speaks only as of today's date, November 12, 2025, and any time-sensitive information may not be accurate at a later date. Our discussion today will contain forward-looking statements of management's beliefs and assumptions based on currently available information. These forward-looking statements are subject to the risks, assumptions and uncertainties as described in our SEC filings. Actual results may differ materially from those expected. We undertake no obligation to update any forward-looking statements. During today's call, we may discuss certain non-GAAP financial measures, including adjusted EBITDA and adjusted net income. Reconciliations of these measures to the closest comparable GAAP measures can be found in our earnings release. Kelly will begin today's call with opening comments. Mark will provide an update on our properties and plans as they relate to our ongoing strategy of maximizing shareholder returns. Ryan will then provide a brief overview of our fiscal quarter highlights. After our prepared remarks, the management team will be available to answer any questions. As a reminder, this conference call is being recorded. If you wish to listen to a webcast replay of today's call, it will be available on the Investors section of our website. With that, I will turn the call over to Kelly.
Kelly Loyd: Thank you, Brandi, and good morning, everybody. We entered fiscal 2026 in a solid position, building on the momentum we carried through last year. Our first quarter reflected continued execution across a broad and diversified portfolio, underscoring the resiliency of our business model through commodity price cycles. Total revenue was $21.3 million, a modest decline from the prior year period, driven primarily by lower realized oil and NGL prices partially offset by a 43% increase in natural gas pricing. Even in a softer pricing environment, our assets performed in line with expectations, generating positive earnings and meaningful cash flow. From a strategic standpoint, this was an important quarter for Evolution. We closed our first acquisition consisting only of minerals and royalties in the SCOOP/STACK, expanding our exposure to high-quality, long-lived reserves while maintaining the capital-light profile that defines our portfolio. The structure of this transaction allows us to participate in future development in over 650 gross locations across a highly active basin that we are very familiar with, given our other assets in the region with minimal operating expenses and no future capital commitments presents us with meaningful upside. We are maintaining a strong financial foundation with ample liquidity and low leverage, supported by the credit facility expansion completed at the end of fiscal '25. That flexibility continues to position us well to pursue accretive opportunities while maintaining a consistent return of capital to shareholders through our regular dividend. To that end, yesterday, we declared our 49th consecutive quarterly cash dividend and our 14th consecutive cash dividend of $0.12 per share for the fiscal second quarter. As for the macro outlook and how it will affect evolution, we'll start with crude oil. It's in the middle of a tug of war between OPEC+ trying to appease the U.S. by keeping prices lower and depleting sovereign wealth funds. When will we begin filling the strategic petroleum reserve, will the ceasefires hold? With global supply and demand so close to being in balance, there are a lot of questions as to when and where the next marginal barrel will be needed. With the futures market at or near all-time net short levels at present, the herd has spoken and pushed crude to around $60 per barrel. A couple of points here. First, I don't think anybody would argue with this, but at $60 a barrel, CapEx budgets are beginning to be reduced which will lead to, at some point, prices needing to move higher to spur enough drilling to meet demand. Second, with the speculative net short position, any geopolitical catalysts can quickly trigger a short covering rally. With our resilient portfolio, whether the upswing in the cycle occurs in the next few quarters or next few years, Evolution and its shareholders will be there to reap the rewards. As for natural gas, the electrification of everything, everywhere and ongoing carbon intensity reduction efforts along with growing exports, create a rapidly growing demand environment set to persist for at least the next decade. Weather remains all important. However, with an estimated 20 to 30 Bcf per day of coming demand over the next decade or so off of a current 105-ish Bcf per day supply base. There is a reason the futures curves for natural gas currently range from the high 3s to the high 4s for as far out as they trade. Of note, our natural gas revenues were up 38% over the year ago quarter, and Henry Hub only averaged $3.03 for the quarter, whereas the calendar 2026 strip is currently over $4. Turning back to our assets. We were encouraged this quarter by the continued operational consistency across our portfolio. Each of our assets delivered steady results during the quarter reflecting the quality of our fields and the strong relationships we maintain with our operating partners. Importantly, we have flexibility across our asset base to adjust development activity based on market conditions which allows us to balance near-term returns with long-term value creation. We expand drilling when prices are high and acquire assets when prices are low, all while benefiting from our low decline producing reserves to maintain strong cash flows throughout the cycle. Our strategy remains consistent. Operate efficiently, allocate capital prudently and return capital to shareholders while maintaining financial strength. We remain focused on generating sustainable free cash flow that supports our regular dividend and positions us to take advantage of attractive acquisition opportunities as they arise. That discipline has been a cornerstone of Evolution's success for more than a decade, and it will continue to guide our decisions in fiscal 2026 and beyond. With that, I'll hand it over to Mark for more details on the assets.
J. Bunch: Thanks, Kelly. Good morning, everyone. I will focus my remarks on key operational highlights from the quarter and encourage listeners to review our earnings press release and filings for additional details across our asset base. Starting with the SCOOP/STACK, 3 wells were turned to sales and 2 additional wells remain in progress from prior periods. Additionally, we have seen current drilling activity on 12 gross wells from our newly acquired mineral acreage. At Chaveroo, operations remained stable. We continue to build optimization efforts, including converting electric submersible pumps to rod lift on 5 of our 7 wells which should help our -- help lower our future operating costs. No new drilling occurred during the quarter and permitting continues for the next development pad with timing of drilling contingent on oil prices. In the Williston Basin, we continue to see horizontal drilling activity moving towards our approximately 40,000 net acres, and we are very excited to see what may come out of this. At Delhi, we continue to recycle CO2 with no new capital activity. Delhi production was impacted this quarter because of downtime related to the unscheduled turbine repair and higher summer temperatures, which reduced CO2 activity in the field. The turbine has been repaired and temperatures are already cooler. At Jonah, production increased in fiscal Q1 as the field worked off prior pipeline imbalance volumes from fiscal Q4 2025. With imbalanced corrections substantially completed by October, sales volumes have now returned to expected levels. Turning to the Barnett Shale, field performance remained consistent with expectations. Production was stable, supported by targeted workovers and higher realized gas prices versus the year ago quarter. At Hamilton Dome, lease operating expenses normalized in fiscal Q1 following elevated workover activity in prior periods, A slower pace of workovers is expected during the fall and winter months with efforts focused on maintaining key wells. Finally, at TexMex, integration efforts progressed during the quarter, where we did see some higher operating costs resulting from the transition to the new operator. which is accounted for in the acquisition and is customary. The new operator performed repair and maintenance work on several existing wells and identify candidates for further reactivation as part of a broader field optimization plan. Ongoing activity remains focused on restoring production, evaluating future opportunities across the acquired acreage, consistent with our expectations at the time of the acquisition last fiscal year. All said, we expect production to increase and operating cost per barrel to decrease moving forward. Overall, our assets continue to perform as expected, and we remain disciplined in allocating capital to the highest return opportunities while maintaining operational flexibility. Over to you, Ryan.
Ryan Stash: Thanks, Mark, and good morning, everybody. As Brandy mentioned earlier, we released our earnings yesterday, which contains more information on our results. For today, I'd like to go through our financial highlights. For the first fiscal quarter of 2026, total revenue was $21.3 million compared to $21.9 million in the same period last year and up from fiscal Q4. The modest decline year-over-year was driven primarily by lower realized oil and NGL prices, down 14% and 8%, respectively, partially offset by a 43% increase in natural gas prices. The quarter's revenue mix was 60% oil, 28% natural gas and 12% NGLs, and our average realized price was $31.63 per BOE. Net income for the quarter was $0.8 million or $0.02 per diluted share compared to $2.1 million or $0.06 per share in the year ago quarter. Adjusted EBITDA was $7.3 million compared to $8.1 million last year, reflecting the impact of lower oil and NGL prices and higher lease operating costs at our text mix asset, as previously discussed. Cash provided by operating activities increased to $7.8 million for the quarter compared to $7.6 million last year, and capital expenditures incurred for drilling and completion activities were $1.9 million. At September 30, 2025, cash and cash equivalents totaled $0.7 million. We had $53 million of borrowings and $0.8 million in letters of credit outstanding under our revolving credit facility resulting in total liquidity of approximately $11.9 million, including cash and cash equivalents. The reduction in net working capital this quarter is related to the integration of 2 recent acquisitions, and we expect this to improve over the coming months. During the quarter, we returned $4.1 million to shareholders through our consistent $0.12 per share quarterly dividend, marking the 49th consecutive quarterly dividend and 14th consecutive at the current rate. To date, Evolution has returned approximately $139 million or $4.17 per share back to stockholders in common stock dividends. On the hedging front, we have continued to add hedges to maintain compliance with our credit facility covenants and protect cash flow for our shareholder return program. Overall, our strong asset base and financial position continue to support both the dividend and our ability to pursue accretive acquisitions that enhance long-term shareholder value. I'll now hand it back over to Kelly for closing comments.
Kelly Loyd: Thanks, Ryan. As we progress with fiscal '26, we're encouraged by the continued consistency of our operations and the strength of our asset base. We'll continue to return meaningful capital to shareholders through our dividend program, maintaining our policy of setting the dividend at a level that we view to be sustainable for multiple years. We believe Evolution is well positioned for both the year ahead and many years to come, and we remain steadfast in executing on our strategy to deliver long-term shareholder value creation through disciplined capital management, strategic acquisitions and conservative cost management, all to ensure the strength and continuity of our quarterly cash dividend through all market environments. Listen, we've been doing this for many years, and we continue to do this for 2026 and beyond. With that, I'll turn it over to the operator to begin our Q&A session. Thank you.
Operator: [Operator Instructions] The first question comes from Jeff Gramp with Northland Capital Markets.
Jeffrey Grampp: I wanted to start at TexMex, it sounds like the results from the quarter probably understate the potential of that asset in the quarters ahead. So I was just kind of wondering if you guys have -- is there a way to quantify, I guess, what a normalized LOE would be for that asset? And what kind of upside you guys are maybe expecting from some of the optimization workover activities that you and the operator have identified so far?
J. Bunch: Okay. Yes, Jeff, I'll take that one in. Now when we bought this, we expected that there's going to be extra costs and stuff going forward upfront and just to get it up to where we wanted to be that we agreed with the new operator about that. But we also had a little hiccup in the road and the transition time between transferring operators took a little longer. So we had some production that dropped down that they weren't able to get back online. We've actually started doing that now. So really with the production being brought back up to where we expect it to be, and we've also seen the cost -- the baseline cost dropping with the new operator taking over control, we expect the lifting cost to get back to a more reasonable level. It's not going to stay at $47. And we'll probably have a little bit higher workover cost here going forward but it's not going to be excessive. And so far, the 3 workovers that the new operator has done, they've done for significantly under budget. So we're really pretty happy with the way the asset is going. I kind of look at this asset as -- on a going-forward basis, kind of -- I think of it a lot of is it looks a lot like the lifting cost for like Williston or something like that. That's how I kind of look at it. But right now, I don't know what I could -- I can't give you more guidance than that on what I think it would do just because we haven't really seen enough going forward with the new operator.
Jeffrey Grampp: Understood. And just to dive in on that with one more follow-up. Is -- do you think you get some of that production benefit in the current fiscal quarter we're in? Or what's kind of the cadence of when some of these can flow through into production results?
J. Bunch: Once the operator took over and got control -- the new operator took over and got control, they've already done 3 of 7 that they've already proposed to us, and they're going to have some more they're going to be proposing. So yes, I suspect the lion's share of that will be back this quarter.
Kelly Loyd: But maybe not the full effect for the whole quarter, right, but as we progress through the quarter.
J. Bunch: That's correct, Kelly.
Jeffrey Grampp: Understood. Okay. That's really helpful. And for my follow-up, I'll ask the obligatory M&A question and just kind of get an update from you guys on deal flow. And I guess it's an interesting time with the dichotomy of gas versus oil prices. And just kind of wondering if you guys are seeing any major delta in terms of bid-ask spreads for oil-weighted deals versus gas-weighted deals and how you guys balance your focus?
Kelly Loyd: Sure. Yes. Thanks, Jeff. This is Kelly. I'll take that. We are seeing a number of attractive or potentially attractive deals that we're looking at. And it is kind of across both fronts. The gas being attractive because they're sort of trading on current terms, whereas we have some futures markets where we can lock in nice returns. And then on the oil side, they're also trading on futures terms, which, again, are pretty muted at the moment. And at least our group doesn't think for the next 5 years, you're going to see oil prices at $60. We just don't think that's remotely sustainable to meet the demand that's going forward. So yes, we're seeing a lot of good stuff. I will say one of the things that's interesting on the acquisition front, we've been always opportunistic, and that's what we like to look at. I will say right now, looking at the minerals deal we did, buying that at 3x, 4x, 3.5x multiple, those are multiples that we consider really attractive for minerals with upside in inventory. So if minerals are going to be competitive with working interest buys, that's something we're going to continue to look at. So anyway, we're excited about what we're looking at going forward. Thanks for the question.
Operator: The next question comes from Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Mark, to follow up on the question around TexMex, can you -- over the next several quarters, can you talk about the trajectory of workovers that will flow through the LOE line? And I think you said you thought if I heard right that, that asset from an LOE standpoint could normalize somewhere around the level of your Williston Basin properties. Is that correct?
J. Bunch: To answer, the last thing you said there was it's the Williston Basin, yes, that's kind of what I look at is where -- because it's kind of similar type property. And then I think it will -- I mean, I don't -- right now, I actually don't know if we'll be completely finished by the end of this quarter. I would suspect it may bleed over into the next. It's the same. It's going to be a process just fixing things up. We got a good deal on this thing for a reason. And we knew that we were going to have to do some work on it. And I think over the course of time, it is going to turn into something really valuable for us.
Kelly Loyd: But Jeff, to follow up on that, this is Kelly. We do expect to see the numerator and the denominator move, right? So we're putting production back online as we go too.
J. Bunch: Yes. We had -- because the operator was -- because of transition time took a lot longer. And honestly, that was really a problem with the state. It wasn't really a problem with the operator. The goalposts were kind of changed. That's actually what kind of put us a little bit behind on keeping the production up was that the new operator couldn't get on some of the wells. And so now that they're back on them, they are working really fast. They've gotten a lot of stuff done faster than I actually expected. So, so far, we're excited about how things are going.
Jeffrey Robertson: And then from a margin standpoint, can you just elaborate on what's going on at Delhi and how you think that -- how you think expenses there will trend over the next couple of quarters? I think you all are now just recycling CO2 rather than purchasing and injecting CO2.
J. Bunch: Yes. The -- since we're not -- I think from a total cost basis, those -- that's going to stay fairly consistent to where it has been. We expect the production rates will come back up, which will help the lifting costs in dollars per BOE terms just because we're going to be -- we're getting back to the cooler months and so oil rates go up, and we also have had good run times from the NGL plants after we got the turbine fix. So I think that you'll see overall the cost per BOE to improve slightly.
Ryan Stash: Yes. I mean I think that's right, Jeff, like on a -- if you look on a total cost basis, right, sequential quarters, it was pretty flat, [ right ], slightly down this quarter, but obviously, production took a hit from some of the downtime in the summer weather. So on a dollar per BOE basis, it should trend down a little bit, but you can see the overall cost relatively flat.
Jeffrey Robertson: And lastly, are you having any conversations yet with the operators of some of your more significant properties on any plans that they have as they look into 2026 to maintain production levels?
Kelly Loyd: I'm sorry, Jeff, you broke up a little bit. Could you repeat that, please?
Jeffrey Robertson: Sure. Kelly, are you all having any conversations that you can talk about with the operators of some of your major properties like the Barnett or like Jonah as far as what they intend to do or what they might think about doing in 2026 just to try to maintain production levels?
Kelly Loyd: Sure. The honest answer there is that with prices where they are, they have told us they intend to do everything they can to keep production as high as they can. There's not a whole lot of levers they can pull. But if prices -- we have seen in the past when prices get really low, they sort of -- if oil goes down, they may let it stay down. Well, that won't be the case for the natural gas properties right now, so.
Operator: [Operator Instructions] The next question comes from Ron Aubrey with RJ Aubrey Investments.
Ron Aubrey: Pretty much want to focus on natural gas. It looks like just revenues and production, healthy 5% quarter-on-quarter growth. And I'm just wondering, when you look at your hedging program for future natural gas production, what percent is that currently?
Ryan Stash: Yes. So on the hedging basis, because of our credit facility requirements, we're over 50% hedged, actually closer to probably 70% hedged for the next year. But what we've done on the hedging programs, we try to maintain upside, right? So we've done a mix of collars and swaps trying to lean more towards collars to range for the upside. So our floors are generally in the $350 to $360 range for next year. But in a lot of the ceilings for the cars, you've got almost $5, right, high 4s to $5. So we want to maintain that upside but protecting the downside. And I think in the natural gas market, certainly, we're a little more apt to hedge into the contango, right, gas curve versus the crude, right? On crude, we're trying to stay much more near term as far as the crude because it's flat to backward dated generally historically. So I'd say we're probably more hedged than typical on gas, but a lot of that is just because of the opportunity set too in the gas book.
Ron Aubrey: Yes. That's very helpful. And nice to see Jonah coming back to normal sales volumes, especially going into winter. What does the outlook look like for West Coast pricing as a premium to Henry Hub?
Kelly Loyd: It's -- this is Kelly. Thanks for the question. It's always pretty variable, but we -- the expectations are for that area to be normal, which I don't know if normal is plus $1.50 plus $2, but we've certainly seen higher than that. And in an awful winter, we've seen less than that. But I think everybody's expectation there now is for a pretty healthy premium, so.
Ryan Stash: A lot of it's going to depend on obviously it goes without saying weather, right? I mean some of the forecasts call for a colder West Coast, but we'll just see. The thing about the West Coast is the storage levels are just not very abundant. So it doesn't take a lot of cold weather to get spikes there, but we're just going to have to wait and see for the weather. But we generally will expect a premium to Henry Hub in the winter, barring a very warm winter. It should still be a premium to Henry Hub.
Kelly Loyd: Yes. Ryan brings up a really good point. You can look at West Coast storage is full, it's high. Well, that is a matter of days of coverage. I mean if you get the weather come in in any reasonable normal -- I'm not asking for extraordinary any kind of normal way, they don't have near enough storage to cover their demand that would be drawn on a normalized weather basis. So you can see some pretty good movements there. And again, that's why we intentionally wanted to get exposed to that market.
Ron Aubrey: Fair enough. And one final question on Barnett. It looks like their production was relatively flat quarter-by-quarter, which is fine, but saw a pretty significant increase in their LOEs. Was that a one-off thing? Or is that -- can you give me some color on that?
J. Bunch: Yes. That's -- the reason you saw the increase from consecutive quarters is because you probably forgot that we had an out-of-period adjustment due to an audit settlement with the operator. And that's what lowered it down below $9. And now it's back up to a normal run rate.
Operator: The next question comes from Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Ryan, can you -- is there any color you could share on the bank market as you all look at acquisition opportunities and availability for increase the RBL if you were to need one?
Ryan Stash: Yes. So the bank market still remains pretty healthy. In fact, the conversations I've had with bankers, a lot of them are actually looking now to deploy capital again. They're getting back more in aggressive nature. I wouldn't call it's ever going to see what we did a few years ago with those kind of terms and aggression. But terms are generally flat to a little better, right, for borrowers and the market for the size facilities we're looking at is really healthy. A lot of the regional banks and even some of the larger banks I'm hearing are getting a little bit more aggressive into the -- coming down to the oil and gas space. So I think people are seeking returns really on the bank side. So certainly, we wouldn't -- we don't feel like we'd have an issue increasing the size of the facility if needed for the right acquisition.
Kelly Loyd: And to follow up with that, one of the reasons, Jeff, that we redid our RBL before the end of the year was to add other partners and have it be very syndicatable. So if something was highly accretive and would work out great for us that it needed some bank piece to it, we are well set up to be there for it.
Operator: The next question comes from Poe Fratt with Alliance Global Partners.
Charles Fratt: Just a couple of cleanup questions. What did the Minerals acquisition add in the quarter? And then is there another step-up in the coming quarter as far as -- was it in for the full quarter?
Kelly Loyd: Poe, this is Kelly. I appreciate the question. Yes. No, it was only for a couple of months of the quarter.
Unknown Executive: 2 months.
Kelly Loyd: A little less than 2 months of the quarter. So absolutely, we do expect that we'll see a full benefit of that coming in this quarter. And it's really in line with what we said in the press release. Volumes are coming in good, so are revenues.
Charles Fratt: Okay. Great. And then when I sort of look at SCOOP/STACK up a little bit, TexMex should be up a little bit, Delhi should be up a little bit for the next quarter. But would you take a stab at the full year production guidance. I think with all the puts and takes, I'm looking at sort of a flat year from a production standpoint in fiscal '26 versus fiscal '25. Any comments on that would be helpful.
Ryan Stash: Yes. I mean, obviously, we kind of haven't provided guidance just on a yearly basis on production, really, frankly, just because of the control factor. But to your point, I mean, there are going to be puts and takes. And some of it is going to be on development, right, in SCOOP/STACK. We are seeing good activity on our asset. But with the delays in reporting, especially on the royalty side, it's hard to get a good feel for where the direction of production. You obviously also have Chaveroo and the timing of those wells, which we're getting permits and obviously continue to monitor those. But like a flattish outlook is probably not -- that's not a bad assumption. But ultimately, it's hard for us to really provide guidance until we see some of the activity levels, like I said, in SCOOP/STACK.
Charles Fratt: That's helpful color. And then when I look at the CapEx side, $3.8 million in the first quarter, is that -- I know that there are some uncontrollables in that number, but would $15 million for the year be a reasonable target?
Ryan Stash: No. Actually, we put out kind of our -- in our year-end, we said kind of $4 million to $6 million was our guidance range for 2026. And actually, we'll have to -- we can look offline, but we only reported about $2 million in capital for the first quarter and some of that...
Unknown Executive: $1.9 million.
Ryan Stash: Yes, some of that's a little bit front -- loaded in the front for some of the work we had to do on the wells out in Chaveroo to convert some of the pumps. So I still think $4 million to $6 million for a range still makes sense, all things considered for actually this upcoming fiscal year.
Charles Fratt: Okay. So about half of that was spent in the first quarter, the September quarter, right?
Ryan Stash: About 1/3 of it, yes.
J. Bunch: Yes, about 1/3. And that was mainly because of the 5 pump jacks we put in at Chaveroo replacing the ESPs.
Charles Fratt: Okay. And then since you mentioned Chaveroo a couple of times, any early read on what's going to happen with Chaveroo considering the pivot by the operator to become more of a Rockies player?
Kelly Loyd: Sure. We've had brief discussions with them. And for everything that we're told business as usual. So we have a really good relationship with them. And look, that -- so far, that's what we've been told, business as usual, and we both agree on timing and when to start things. And I think we mentioned this last quarter, but we don't believe at $60-ish per barrel, we're in a rush to go out and start drilling wells right now there. So...
Charles Fratt: Yes. I was just looking at more from a strategic standpoint for PEDEVCO.
Kelly Loyd: Yes, if nothing changes for them, we've got plenty of ways that we can all work together on that as well. But again, from what they're telling us so far, it's business as usual, so.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kelly Loyd for any closing remarks.
Kelly Loyd: I appreciate that. Thank you. Listen, we want to thank everybody for taking the time and showing the interest and asking your questions. We really appreciate it. Just in summary, we're really excited about fiscal '26 and beyond, where our portfolio is and the outlook going forward. It's going just as we expected. So we're excited going forward and happy to have you all along with us. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.